Operator: Welcome to the Alexandria Real Estate Equities, Incorporated First Quarter 2015 Earnings Conference. My name is Blesia and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note today's event is being recorded. I will turn the call over to Rhonda Chiger.
Rhonda Chiger : Thank you and good afternoon. This conference call contains forward-looking statements within the meaning of Federal securities laws. The company's actual results may differ materially from those projected in the forward-looking statements; additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in the Company's periodic reports filed with the Securities and Exchange Commission. And now, I would like to turn the call over to Joel Marcus. Please go ahead.
Joel Marcus: Thanks Rhonda and welcome everybody to our first quarter 2015 call. With me today are Dean Shigenaga, Peter Moglia, Steve Richardson and Dan Ryan and Tom Andrews and we finally decided hold this call with investor despite what [indiscernible] said. The story of the first quarter is strong leasing in our development pipeline and needless to say very proud of our entire teams very strong first quarter performance across the entire company. Our long term strategic optionality planning is paying significant dividend, we’re in the best sub markets with the best assets and operations and taking advantage of really timing of exceptional market demand giving us significant pricing power. There is really a perfect confluence of significant science and technology demand for our urban innovation campuses. It's really all about acquisition, retention of talent and 10 years and now 2025 [millennial’s] will make up 75% of the work force. So companies are very, very attuned to location. What we just said about demand, the very limited supply coupled with our timing of deliveries of our embedded development pipeline which is highly leased and with very strong yields equals really a compelling internal and external growth story. We're pleased to say that 52% of our ABR is from investment grade client tenants and when you combine that with our average lease duration of the top 20 tenants comprising 50% of our ABR more or less gives is about 9 years that gives us strong cash flow and high quality long term tenants. Dean will talk about guidance we updated the midpoint of guidance of 522 approximating 8.5% growth plus a 3% dividend which gives an investor double digit growth for 2015. Science & Technology entities are really at the four fronts of growth and leadership in this innovation oriented economy as I said competing for the best talent and best innovation sub markets. If we go to Life Science industry it's clear there are a number of pretty compelling factors that work including better and faster FDA approvals as we’ve discussed in fact in the first quarter there were 10 new drug approvals and 50% were ARE tenants and in fact today Biogen CEO George Scangos, longtime friend and client of ours announced that Biogen was committing $2.5 billion to Alzheimer’s research in their R&D budget. More NIH funding is coming, next generation big bio-techs have emerged and really have become really have become very dominant, very strong venture backed companies have emerged with much longer run ways than previously. Big Farma’s in very good shape and migrating the urban cores, personalize medicine and effective targeted therapies have really come of age and increasingly the life science industry is turning to tech platforms to drive new insights and bolster business. Commentary on yesterday's sell off a bit bio techs were broadly down, especially the small and mid-cap about 3% to 5%. But the groups been up 15% year to date, 50% of the past year and it’s tripled over the last three years so the sector remains a market leader, no specific catalyst and trading volumes were certainly not alarming. On the tech sectors, the tech sector PE is about 5% lower than the S&P market the favorable earnings growth certainly is a part of the tech sector, favorable long term secular trends driving growth including corporate networking security which is in everybody's mind, smart mobility, explosive e-commerce growth, adoption of cloud computing and importantly digital health to name a few. On the internal growth operations in the leasing side we had a very strong quarter of about a 1 million square feet leased with strong rental rate increases, of this square footage leased 40% was from Greater Boston and 31% from San Diego and 84% of the cash increase was from Greater Boston leases. Occupancy, Dean will comment on, will likely stay flatter or decline just a bit in the next quarter due to two move outs Dean will mention and we had very good same property NOI growth. On the external growth side it's clear to say we have more opportunities than we can undertake, our current pipeline 60 Binney 250,000 square foot, we really are now down to two prospective tenants and expect I think leasing progress in the second quarter hopefully above pro forma. A 100 Binney in the near term pipeline we are about to secure an anchor lease we've signed at an LOI for more than half the building and we expect to kick off construction here in the not too distant future. It's also important to remember our current future development opportunities plus additional SAR that may, been embedded there is worth noting approximately 3.2 million square feet, Seattle with about 452,000 square feet, San Francisco 1.1 million square feet, San Diego about 1 million square feet, Greater Boston about 150,000 and New York City about 420,000. I will leave Dean's comments on balance sheet and guidance and then finally on the dividend, we're clearly going to increase cash flows that will be shared with the shareholders so look for continued dividend increases through the year based on Board decisions and I will turn it over to Peter.
Peter Moglia: Okay, good afternoon. I think I will make some comments on the investment market and cap rates. The national investment market has continued to be health through the first quarter of 2015 illustrated by a further compression in cap rate of 5 basis points in the fourth quarter of 2014 for a national average of 6.11% according to the PWC Korpacz Investor Survey. Alexandria's strategy to focus our allocation of capital into the innovation gateway coastal cities of Boston, Cambridge, New York City, San Diego, San Francisco and Seattle continues to drive our NAV higher as the year-over-year cap rate compression in those markets was two times that the year-over-year national average at 34 basis points. According to the PWC survey the office sector in particular is expected to lead the industry in terms of value growth followed by warehouse, lodging, apartments and retail which is mostly attributed to a continuation of improving fundamentals and the focus on office investment from foreign capital and pension funds. There was one notable lifetime stay to report in the first quarter which occurred in the Seattle region where 307 Westlake and South Lake Union traded for a 5.6% cap rate and a record price per square foot of $859. This acted very similar to another lab office asset at South Lake Union 401 Terry which traded in the first quarter of 2014 at a 6% cap rate and $755 per square foot. Given that the assets are within a couple of blocks from each other and occupied by similar non-credit tenant research institutions on long-term leases these trades are a good barometer for the cap rate compression that lab office assets have experienced over the past year. During Investor Day we noted an office sales comp at 25/1st Street in Cambridge, Massachusetts also known as the Davenport building. That sales comp originally speculated at 4% has been confirmed at 4.55% and a price per square foot of $637. A follow on to that was the closing of One Memorial Drive at a 4.9% cap rate and a healthy $1,096 per square foot. Also noted during Investor Day but repeated here for those who may have missed it, was a comp that gave some long awaited price discovery in South San Francisco. 701 Gateway, an office building which is in close proximity to a number of Alexandria assets traded [indiscernible] at a 5.5% cap rate. There are a number of projects being keyed up there that were affirmed by this comp. Adjacent to Mission Bay tech office building 444 De Haro Place in Potrero Hill traded to Ares Management for a 4.5% cap rate and $669 per square foot. This asset had just been stabilized with major leases executed in 2014 for 75% of the building. To wrap up my comments I want to acknowledge that we continue to monitor the movements in interest rates and still believe that although recent days show that leading indicators appear to have turned higher on a month-to-month basis consensus investor sentiment remains negative on the rate outlook but appears to be validated 10 year treasury yields remaining near lows and the fed's lower rate cap forecast during the last FOMC meeting. With that I will hand it over to Steve.
Steve Richardson: Thank you Peter and good afternoon everybody. The San Francisco to Stanford clusters theme is really one of broad and deep demand. As life science requirements total in excess of 2 million square feet which is up significantly from six months ago and another 8 million plus square feet of tech office demand of which 2.7 million square feet is in the City of San Francisco alone. Alexandria's leadership position in developing creative and collaborative urban campuses is creating tremendous interest in the market we are fully engaged with deep and trusted see sweet relationships across both the science and technology industries with at least five users seeking unique big blocks in access of 200,000 square feet. A deeper dive in the market shows the robust leasing activity in the mid-range side as well as past quarter. Uber leased 300,000 square feet at 555 and 685 market streets. Lending club is doubled its footprint to 252,000 square feet with a lease of 112,000 square feet comprise of eight floors at 595 market. [Advent] software renewed its lease of 129,000 square feet at 600 Townsend Street, just down the road from our 510 Townsend project. [indiscernible] leased 120,000 square feet at 221 Main Street. We Works has leases pending for 91,000 square feet at 995 Market and 1161 Mission, while [Mix Pana] leased 65,000 square feet at 405 Howard and Omnicons leased another 45,000 square feet at 600 California. With all this activity we anticipate lease rate for new product will be pushing beyond mid 50 triple net and into the mid 60 triple net given the mix of high demand and limited availability more particularly we have no availability in Mission Bay and just 3.4% in the SoMa district down 300 bips from 6.4% during 1Q, 2014. At 510 Townsend Street we are on track for securing entitlement during late summer of this year and have signed a long term full building lease with a disruptive technology company, Stride. We expect to break ground later in the year and we'll provide further color in the coming months and timing and delivery. Mission Bay as we've noted is very health with continued in bound interest as well as existing tenant seeking expansion with Warriors breaking ground later this year and our JV with Uber on track this is become truly a unique Urban destination. Our regional teams 30 years of experience and relationships across the political governmental and brokerage realms as well as the science and tech industries has positioned the company for continued out performance in the San Francisco market. Moving a bit South we're seeing a quite bit of resurgence of activity in South San Francisco which is 1% vacancy we have seen our Amgen Onyx campus just brought some market for sub lease but we do have in place long term leases at the campus with an investment grade tenant there. Lease rates are now pushing well into the mid-40s and higher for existing product. And finally the 98.5% regional occupancy reported in the sub has already been resolved, so we're back in 100% and the mark-to-market of rent places leases provides for further growth with approximately 10% cash and 15.2% on a GAAP basis. With that let me hand it over to Tom.
Tom Andrews : Thanks good afternoon everyone its Tom Andrews, I’ll be talking about the greater Boston region. So the greater Boston life science market continues to enjoy very favorable supply demand characteristics in the highly desired East Cambridge and Kendall Square sub-market where areas that’s a concentrated. Class A lab vacancy is around 3% and office vacancy is around 5% and overall Cambridge vacancy is sub 10% for all categories of both office and labs space. We're tracking about 2 million square feet of lab demand and nearly 2.5 million square feet of office demand focus in Cambridge and that’s in an approximately 18 million square foot total market. Demand is coming from multi-national both life science and technology companies entering the market to newly public clinical stage drug companies, to well capitalize venture backed firms all are desiring a close proximity to MIT and the amenity rich Kendall square neighborhood surrounding the campus. Overall, areas occupancy in the region kicked up about 140 basis points to 98.9% occupancy in our 4.3 million square foot operating portfolio. As one would expect the tightness in the market has resulted in the substantial increase in asking rents for both laboratory and office. Class A lab asking rents have moved from the mid to high 50 triple net into and through the 60s and we're now seeing some offers in the 70s triple net. In the office market current asking rents for Class A Kendall square office space solidly in 50s and 60s on a triple net basis which equates to 70s and 80s on a gross basis. This has created a sense of urgency among tenants of all size and when possible we’re using this market dynamic to lock down early renewals as with the 83,500 square foot office renewal with MIT at 600 Tech square were we are able achieve a near doubling of the net rent compared with expiring rent. We were pleased to welcome Santa Fe to our Alexandria center at Kendall square project as they have committed to a long term lease of 251,000 square feet at 50 Binney Street. We are now in active negotiation as Joel mentioned with multiple users for the approximately 270,000 square foot 60 Binney portion of that project which is now under construction. And also as Joel mentioned we've singed a letter of intent for about half of the approximately 417,000 square foot near term development project at 100 Binney Street which is the only shovel ready commercial development site in Kendall square at this time. So based on this we're expect to be able to announce one or more additional large lease deals in the coming quarters at Alexandria Center at Kendall Square. In March also at ACKS we delivered 388,000 square foot 75/125 Binney project which is 99% leased to ARIAD pharmaceutical. ARIAD as we've been tracking over past several quarters is entertaining a handful possible subway scenarios for up to about 40% of that project, they continue to work on design of their own tenant improvements and we expect them to occupy a significant portion of their space early in 2016. At Longwood Center in Boston which is our joint venture development project in which we are a 27.5% owner, we are in negotiations with prospects representing over a 103,000 square feet of additional space and if completed these leases would bring us to 63% occupancy in this 413,000 square project with three full floors remaining to lease in the nine story building. We are encouraged here by a modestly higher level of tenant activity in the sub market in recent months. And finally I would note that we are expecting an on time delivery in early May of the fully leased 112,000 square foot redevelopment project at 225 2nd Avenue in Waltham. And I am going next to Dean.
Dean Shigenaga: Thanks Tom, Dean Shigenaga here. Good afternoon everybody. I just want to cover three important topics, first off our continued strong performance in the first quarter, second our disciplined allocation of capital in excess to diverse sources of capital and lastly and important NAV related matter. As you know our strategic focus on unique collaborative science and technology campuses and urban innovations clusters drove very strong results in the first quarter. We've reported FFO per share of $1.28 up 9.4% over the first quarter of '14 up $0.05 or 4.1% over the fourth quarter of '14. Our FFO per share results exceeded consensus by $0.02. We refined our range for FFO per share guidance for 2015 from $0.20 to $0.10 and increased the midpoint of our guidance $0.02 to $5.22, directly reflecting continuing strong rental rate increases on lease renewals and re-leasing of space. As Tom had mentioned we executed several leases in Greater Boston with significant cash and GAAP rental rate increases driven significantly by a lease for about 84,000 rentable square feet at Technology Square with a cash rent increasing from $25 triple net to approximately $53 triple net. A significant portion of this rental rate increase was anticipated in our guidance and we achieved a higher increase than anticipated which drove a portion of the increase in our guidance for 2015. We are well positioned with a high quality asset base located in key coastal gateway cities with high barriers to entry, extremely limited supply of existing cloud [based] space and very limited future development product in comparison to the significant demand. Our overall mark-to-market print in place leases today in San Francisco and Greater Boston generally range from 10% to 20% with opportunities for significant steps on a select number of early renewals. As noted at Investor Day in December of '14 we had two single tenant properties with expirations in the second quarter of '15, one lease for about a 128,000 rentable square feet at 19 Presidential Way in Woburn, Massachusetts expires on May 31st of 2015 at a rental rate of $25 per square foot triple net. We have another lease for about 82,000 square feet at 2525 NC Highway 54 in Durham, North Carolina that expired on April 24th at a rate of $13 per square foot triple net and we are currently marketing both spaces for lease. As Joel hinted this will result in a temporary decline in occupancy by about one half of 1% in the second quarter as these expirations are offset by lease up of some vacancy in our asset base and remain on track to hit our target range of occupancy from 96.9% to 97.4% by year end. Our balance sheet is in excellent shape and I will review our capital plan in a moment, we remain very disciplined in our development activities with highly leased development projects and non-income producing assets are now 12%. We continue to execute on our long-term strategy to deliver growth in FFO per share and NAV, while also improving our net debt to adjusted EBITDA so less than seven times by year end. Leverage as of quarter end was 7.5 times and represents the high point for leverage for 2015 and will decline in the third quarter and the fourth quarter. Moving on to our disciplined allocation of capital and access to diverse sources of capital, 86% of our capital for 2015 is focused on highly dynamic and collaborative campuses in key coastal science and technology gateway cities that inspire innovation including Cambridge, Mission Bay and SoMa, Manhattan and [Toir Pines] in the ETC market. Our capital plan for the year at the midpoint of our guidance includes approximately 1.15 billion with approximately 490 million or 43% expected from net cash provided by operating activities after dividends, incremental debt and a non-cash acquisition in the form of a tax deferred structure. The remaining midpoint of 655 million or 57% of the 1.15 billion is detailed on page four of our supplemental package. We have identified asset sales aggregating 475 million and are working on the remainder of our capital plan of approximately $180 million. We expect to expand our access to capital with the sale of an interest in 225 Binney Street to a top tier JV partner by near year end. We have completed or we have three dispositions for the year keyed up including two single tenant Class A buildings, one in South San Francisco and one in Cambridge and the residential project located in Cambridge. All three dispositions are at various stages of negotiations and are expected to close this year accordingly our comments on this transaction will be limited until each sale is completed. At the midpoint of our guidance these three sales are projected to generate roughly 370 million in proceeds based upon 16 million of cash NOI and this includes 80% of the NOI for 225 Binney Street at the midpoint of our target JV interest. The proceeds from the sales are waited toward the later part of 2015 as for the remainder of the capital roughly 180 million that we're solving for over the next quarter or so approximately 40% will be sourced from real estate sales to be identified over the next several months and the remainder of approximately 100 million maybe source through additional asset sales or through very limited use of our ATN program. We prefer not speculate on potential sales that have not been identified. But we will continue to focus on sales of both operating properties and land. More importantly we will continue to provide disclosers of specific sales when they’re identified and classified its held-for-sale. Briefly our ATN program has about 150 million remaining and is scheduled to expire in early June. We do expect to re-file our program later this year and do not expect to utilize any significant amount under this new ATN program. This is the perfect time to remind everybody about our desire to utilize various options to fund our highly leased value creation development projects. In a manner that will allow us to deliver long term value to our shareholders while remaining prudent and disciplined with the issuance of common equity. Assets sales are at an important component of sources of capital and we will continue to focus in growth and FFO per share and net asset value while we fund our highly leased value creation projects. Briefly on debt transactions for the rest of the year really consist of the following partial repayment and extension of the maturity of our 375 million 2016 unsecured term loan. We expect to expand the maturity date to 2021. Our goal remains the same we will continue to reduce our outstanding term loan balances over the next few years. This partial repayment and extension of the maturity date provides flexibility for our capital structure while extending our weighted average maturity. After extending the 2016 maturity date we will focus on reducing the outstanding balance under our 2019 unsecured term loan. As noted in prior calls we do expect to issue unsecured bonds this year before any meaningful increases in all in pricing settles in. We believe all in pricing today for 10 year bond to be in the range of 3.5% to 3.7%. We are also considering a secured construction loan for 50, 60 Binney Street in Cambridge which will cover a portion of our funding for this project later this year. We're also considering a secured construction loan for JV development at 1455/1515 Third Street in Mission Bay and this loan will cover funding needs that really began in 2017 after both the company and our partner fund initial construction cost. Lastly on important NAV matter on March 24 we delivered 99% of 75, 125 Binney Street to ARIAD Pharmaceuticals. From an NAV perspective most models likely value this 99% lease property above our investment to date. But likely at a discount until placed in the service cash rents commence immediately upon delivery however about a year and half of free rent on a 15 year lease really we’re spread over the first two years of the lease. As a result about 80% of the annual rents of about $30 million represent straight liner rent. Accordingly 80% of the value of this property will likely be eliminated in models that back out straight line rent in order to drive value based on the capitalization rate on in place cash NOI. Full cash rents of $76.50 began on April of 2017. So we encourage investor to carefully review the full valuation of this class A property and there NAV models as they update them. Lastly in closing the detail assumptions underlying our updated guidance for 2015 are included on page 3 and 4 of our supplemental package which really are in a unique position with strong demand for class A assets and key coastal gateway cities our capital plan is grown for value creation opportunities primarily in SoMa and in Mission Bay while we strategically fund our growth through additional asset sales. We also are continuing to focus on our strategy of generating growth and FFO per share and net asset value. We believe we have the right assets and the right location and the best to roster of client tenants and remain focused on continuing to build our best in class franchisee. With that I’ll turn it back to Joel.
Joel Marcus: Thank you Dean. Operator, let's open it up for Q&A please.
Operator: [Operator Instruction] We'll go first to Smedes Rose of Citigroup.
Smedes Rose: I was just wondering if you could talk a little more about your rational for selling a majority interest to 225 Binney why that asset and maybe your thoughts around that?
Dean Shigenaga: So I think as you look through capital planning being very fluid as you look at trends in the market place as well as different sources of capital. Given our needs to fund about 1.1 billion roughly, 1.2 billion of needs this year. We've laid out a capital strategy I think that has been somewhat dynamic but also prudent and discipline in tapping of variety of sources of capital to blend our cost of capital. And I think in prior calls we've mentioned as well as in the general market you get a good sense by pricing for high quality real estate is attractive capital for the company. And as a result JV interest in a project by 225 Binney fully leased modest steps in rents overtime will allow us to really tap the value we created on this project, which keep in mind was initially delivered a probably [7.5 to 7.7] initial yield when we completed this project. And if we can tap a market cap rate today which we'll described when we complete the transaction will be able to monetize some of the value creation and reinvest that capital under value creation projects. So hopefully that helps.
Smedes Rose: And then I just wanted to ask I know you noted that Amgen space has just been brought back to market in South San Francisco. What's your thought I guess on demand for that and the kind of maybe the pace of sub leasing it?
Steve Richardson: Again it's really resurgence of activity in the South San Francisco market you've got just 1% direct vacancy. So as we've got a number of second cohort companies that are maturing there I think the possibility of sub leasing looks brighter than perhaps it did on their other projects along [indiscernible] Cove. So we're in constant contact with the Amgen team as we have been for years and we'll see how it unfolds, but I'm encourage.
Operator: We'll go next to Nick Yulico of UBS.
Nick Yulico : Couple of questions, one on the sales the residential site, this plan in Cambridge. Can you remind us what the cost was -- is to build that project?
Dean Shigenaga: We're probably in somewhere just around low $40 million probably at the point we will be completed with the project.
Nick Yulico: So you expect to sell that some sort of premium to that, I imagine?
Dean Shigenaga: I think the way to think about the residential site is that it was a component of a large entitlement effort, a component of our overall Binney Street development. There is a component they have lower price units within in the residential development. So I'd say that we expect to breakeven to a slight gain on the transaction. But keep in mind that it's a component of the larger development and since we don’t want to long term holders of the Red B side we’ve chosen to sell and recycle that capital.
Joel Marcus: The numbers of buyers for it really is astounding, in the several dozen.
Nick Yulico: Okay, so if we're tiring to figure out to put any possible cap rate on the stable cells if we allocate somewhere above cost or around that for the residential that would be good enough math.
Dean Shigenaga: Yes that gives you a very good sense for an estimate on the cap rate on average for the two transactions that we're talking about -- looking at selling and as we mentioned we'll provide more color when we complete each of the sales.
Peter Moglia: This is Peter Moglia I just wanted to add one thing, that the rents is being touched on are significantly impacted by an affordable component which was the part of the entitlement agreement we have with the city of Cambridge. So if you apply the market rent to the whole thing and then apply a cap rate to that you might be off and so I think roughly about 40% of it is limited to affordable. But we fully expect a market cap rate on that NOI.
Nick Yulico: And then just turning to these possible acquisitions of additional sites in Mission Bay and SoMa. Can you just talk about it sounds like one of the deals in OP unit deal and then also one of these might be life science office projects possibly yields and whether these would you think with fall under Prop M allocations? Thanks.
Dean Shigenaga: Yes, I think we'll not -- if you don't mind comment on that anymore, we’ll comment in detail and obviously our disclosure will have by chapter reverse on that, when the time comes but I think, given pending transactions better to say nothing. I think, Steve could give you, 60 second primer on Prop M though.
Steve Richardson: Yes, it's Steve Richardson. Prop M right now, there is supply in the pipeline, we anticipate that winding down with two large projects that will probably garner allocation and then certainly 5,000 to 10,000 in the summary as we've discussed. So really seeing the impact of Prop M in the later half from 2016 and then beyond into 2017.
Nick Yulico: Okay, guys, thanks. Just when you talk about this non cash acquisition as a source of capital, is that an OP unit deal or is that something else?
Dean Shigenaga: In essence yes.
Nick Yulico: Okay, thank you.
Operator: We'll go next to Jim Sullivan of Cowen Group.
Jim Sullivan: Thank you. Back in December, at the Analyst Day, you had noted that you're leasing steps expectations for the year we're in the 14% to 17% range on the GAAP basis. First quarter was obviously well ahead of that. In that result I think you would attributed in part to the locations where the leases were made, you talked about Cambridge, of course in California and I just wonder if you could kind of update us on the -- on your expectations for the steps of the year, is that still that same range 14 to 17, number one; and number two, kind of is part of that, I wondered if you could kind of review your sense of the mark-to-market in the portfolio outside of Cambridge and San Francisco, San Diego.
Dean Shigenaga: So Jim, it's a Dean Shigenaga, I think when you think of our leasing steps this quarter almost 31% on a GAAP basis and our range of guidance of 14 to 17. I would first highlight at the challenge with updating the range in an extremely healthy environment that we're in today with tremendous demand and very limited supply, is it’s hard to forecast the upside that is off low and I'd also add that this is only the first quarter that represents only 25% of our activity for the year, it was home run quarter. I'd imagine that on average the rest of the activity is going to be closure line with our guidance with the [indiscernible] that we're in a very strong market that presents some upside on the leasing activity that we've execute on going forward and I forgot what the second questions was.
Jim Sullivan: On that mark-to-market and other regions?
Steve Richardson: Jim, its Steve Richardson, so if you look at Cambridge roughly at 59 cash, roughly 10% in San Francisco, San Diego we've got about nearly 5% in [Tori Pines] maybe 2% overall. Given some limited rollover there and then in New York we're at about 2% as well. We obviously have a lot of recent deliveries there so just hasn’t matured to a point. And then Maryland we're in positive territory as well on a cash basis 2%, 3.3% on a GAAP basis. Then in Seattle looking solid on GAAP basis 10.6% and 2.0% on a cash basis, RTP similarly 12% on a GAAP basis and 7.8% on a cash basis. So across the board, we're certainly positive mark-to-market and I think certainly seeing Maryland and RTP recovers, stabilize and now moving the positive territory is an encouraging sign
Jim Sullivan: Is it kind of fair to conclude Dean and Steve based on all of those comments that as we look over the expiration schedule looking out not just for '15 but for '16 and '17 given that the average base rent on expiring and I’m talking in total here is fairly low either in the high 20s or below 30s, that very strong spread to your --not just to 2015 event or likelihood, but I'm sure you would have a good deal of confidence in succeed in '17 as well at this point, admitting that this is very dynamic market.
Dean Shigenaga: Yeah I would say first of Jim, it is very dynamic market. I'd say it's hard to incorporate the speed of change in rental rates in a summary that we just -- Steve just rattles out. But if you look out this type of environment, very strong market should provide ongoing very solid leasing statistics going into '16 and '17.
Jim Sullivan: Great, thank.
Operator: We'll go next to Jamie Feldman of Bank of America Merrill Lynch.
Jamie Feldman: Can you talk a little bit more about the actual requirements to get the permits and approvals done for the leases you've signed or I guess to start construction at 510 Townsend and 10300 Campus Point and 400 Dexter, [Nick] in press release you said, and with the press you signed the leases and then you have some huddles you need to get over to expect construction?
Joel Marcus: Yes, so Steve will talk about the 5,000 to 10,000 and I’ll ask Dean will talk about to campus point and then I'll talk about Seattle.
Steve Richardson: Jamie its Steve. We've started the internal process a number of quarters ago, you've submittals, environmental impact review and then traffic studies, those three pieces have essentially been completed or nearing completion. We do have a target in August now with the planning commission and expect that we're right in the middle with the fair way with the project itself no variances, all of the underline traffic and EIR conclusions are consistent, so we would expect putting seamless move here to August and then we're receiving the entitlements at that time.
Joel Marcus: And break ground, Steve
Steve Richardson: Break ground shortly thereafter in the fall.
Dean Shigenaga: Jim its Dean. So the way Steve describes is exactly where we are in San Diego on our campus point project. We have cleared all the hurdles, we're now up to public notice and we expect to wrap all that up in July. So we're targeting a final approval on July 4th. But everything seems to be going smoothly and ground breaking at the same time.
Peter Moglia: This is Peter Moglia, at 400 Dexter our [indiscernible] as it's refer to in Seattle, it’s expected within the next 60 days or so. But we're going full force on design and the city is very, very supportive of this effort because they wanted to capture Geno Therapy that's in the city proper. So we've got full support and we're running with it.
Joel Marcus: And expected break ground potentially in the next quarter.
Jamie Feldman: Okay and did you say for 5,000 to 10,000 you have Prop M approval or you need it?
Steve Richardson: No, that will happen with the planning commission in the summer Jamie, August.
Jamie Feldman: Okay, alright and then I know you didn't provide us total dollar amount for 50 to 60 Binney, but can you give us may a ballpark of how to think about the total cost to their project?
Dean Shigenaga: Jamie its Dean here. You probably -- you’re actually not too far from our recent project at 75/125 Binney, year and I say this cautiously let me just carry out this because the challenge with estimates for construction right now is, what we do know is, we have a lease with Santa Fe, we are working through terms to lease 60 Binney on the exact split between our investment and the tenant's investment, plus the design. Some design aspects will determine the ultimate cost but you're probably in that figure that's approaching all in about a $1000 a foot.
Jamie Feldman: You're saying that the combination of your spend and their spend, or that's just your spend?
Dean Shigenaga: That's our investment into the project.
Joel Marcus: All in, that's fully loaded all in. And then rents you could imagine would be of the absolute upper end and then you can imagine what the yields would be. So nice spread to what cap rates are today.
Jamie Feldman: And then my final question is more strategic, so it sounds like you pulled back on your disposition guidance. You increased your acquisition, but you spent a lot of time talking about how great the pricing is for sales. How do we think about that? How did you think about that rather than maybe you think you'd want to do the opposite, which is sell more and buy less, given where we're at cycle.
Joel Marcus: Actually Jamie -- sorry to point that out, but that’s actually what we are doing. We're selling, we increased our disposition program this quarter, so we have 200 million of incremental dispositions on a cash basis.
Jamie Feldman: I thought you took down your sale guidance. No?
Joel Marcus: No, dispositions increased. Net 200 on a cash basis over just the acquisitions. So we have about a net 65 million of cash increase on an outlay for acquisitions and about 265 million at the mid-point increase in dispositions, which nets about it.
Jamie Feldman: Alright my confusion, I'm sorry about that. Thank you.
Joel Marcus: Thanks Jamie.
Operator: We'll go next to Sheila McGrath with Evercore.
Sheila McGrath: Good afternoon. I was wondering on Tech Square that rent you mentioned was $25, was that a really old lease and are there other leases at Tech Square that are also well below market?
Dean Shigenaga: That lease was a 2010, so just coming out of the recession. It was a renewal of an existing MIT lease at that market and it was a gross rent. And so that shows how much the office market in particular has moved since that trough in 2010. And there are not a lot of other well below market leases at Tech Square a lot of other well below market leases at Tech Square that a pretty minimal.
Dean Shigenaga: Sheila it's Dean, just to clarify the original lease rate that rolled was gross, the numbers I gave you converted the gross rate to a net rate, so get apples to apples, it is a net lease today.
Sheila McGrath: Okay, great and then on the auction property in the New York that seems to be moving more quickly now. I know the last time you negotiated the ground lease 429 Street it’s quite a while, is this something that you think is years away or could this be near term and maybe you just comment on the potential to ups still in there?
Joel Marcus: Sheila it's Joel, the city announced actually in the press release -- announcing the two venture fronts that they're essentially helping fund to the tune of about $150 plus million dollars and in that press release, so couple of weeks ago. They stated the need for additional lab space in New York because the demand there is emerging and they cited, the Alexandria center for life science is having the additional north parcel on which we have a long-term option as one immediate relief valve at least in the foreseeable future and the city has encouraged us, we’ve had several direct meetings, they’ve even encourage us to think about up zoning it. And so we will be working with them hands on and right now our thinking is we could break ground potentially by the end of next year with the delivery on 2018. So that's very realistic. The ground lease is negotiated, this is just an add-on for the development
Sheila McGrath: The terms of this ground would be similar?
Joel Marcus: It would be an amendment to the existing, for the development of the sights. So it's actually fairly easy to do compare to a brand new ground lease that we had never negotiated back in 26 and 27 when we're doing
Sheila McGrath: And with pricing, even though amendment to this ground lease pricing could vary?
Joel Marcus: Would you say pricing meaning?
Sheila McGrath: Meaning the rent that you are going to pay on this auction parcel.
Joel Marcus: Well, that's one of the key issues because obviously we want to make it as favorable to the tenants because that's a pass through, to induce them to make New York city their headquarters and city is aligned with that view. So that's not so much of area cost that's tenant cost and it's in the best interest of the city to make that affordable.
Sheila McGrath: Okay, great, thank you.
Operator: We'll go next to Michael Carroll of RBC Capital Markets.
Michael Carroll: Hey Jeol, can you give us some color on the acquisition guidance, what's the breakup between stabilized assets and then you got increasing assets? That was kind of mentioned in the press release.
Joel Marcus: Well that’s Dean.
Dean Shigenaga: I think, you should think of most of them other than what we've completed which you already have, the stuff that's pending you should think of as value added opportunities. There maybe a little bit of in-place purchasing cash flows, but for now just assume it's nominal.
Joel Marcus: Yes, I think as we've said last time the MIT transaction involving at the Memorial drive property, really was kind of an opportunistic situation, we didn't really plan on, they brought it to market. They bundled that with the -- not bundled it but encouraged us to bid on it together with our repurchase at Tech Square. So, it's not something we had really planned on and generally we're aren’t in the market to buy stabilized acquisitions in general.
Michael Carroll: So the value and acquisition that you're looking at, then how much capital can you invested in those properties going forward? [indiscernible] 15 bucket.
Joel Marcus: Lot of that depends on what the ability to build on, based on local permitting, et cetera. But I think we've laid that out in the pipeline chart on Page 30, if you go to that, that's the best way to visualize and think about each of the project, the ones that currently in development and the one that are really near term, I think if you look at the square footage there that's the easiest way to kind of think about it.
Dean Shigenaga: Michael, I'd say, it doesn't impact and your question maybe longer term related but it doesn't really impact our construction spending for this year as you noticed that our guidance remains very consistent with last quarter.
Michael Carroll: Okay, great, thank you.
Operator: We'll go next to Rich Anderson of Mizuho Securities.
Rich Anderson: So, I just have maybe potentially stupid question to start, is there anything about to 25 Binney have a lesser [indiscernible] as part of the broader Alexandria standards, is there smaller audience because of that do you think?
Joel Marcus: No, I don't think so at all, actually was probably broader audience as you know that area of Binney is a very -- has great adjacency to Biogen’s main cluster campus there that's why they choose that site down at 225 Binney if the peer office leases the headquarters it's a long term lease, it's a credit tenant. The tenant that has a market capital of almost $100 million doing great things. It's actually an ideal asset.
Rich Anderson: Okay just wondering because within broader center there. Anyway moving on the mention of the two leases one that has vacated and the one that’s going to on May 31st, is there anything in guidance with that release at this point?
Joel Marcus: Modest assumptions, we do expect some down time, Rich to re-tenant these. Could go either single or multi-tenant we do have a number of showing. But nothing to reported at the moment.
Rich Anderson: I was just going to say, where it is 25 from Massachusetts and 13 for North Carolina compare to market right now in your opinion?
Tom Andrews: This is Tom Andrews. That property is [indiscernible] on the Route 128 inter belt way, North of Austin. We think that 25 is right pretty much were market is, so we'd expect to be and the building it was acquired as a sale leaseback10 years ago and the building was design to be a multi-tenant building and we think we'll have no trouble at all multi-tenanting it and leasing it up overtime. It will take some to lease up. But we've got good activity with multi-tenant prospect and a potential single tenant prospect. But we think it that’s market, the roll -- the expiring rents are probably close to market.
Joel Marcus: And in the North Carolina property it was a property we bought a quite a number of years ago the EPA was in the property they’ve moved on and rents there are probably are in the low 20s on a triple net basis. So we see some good opportunity for a roll up there.
Rich Anderson: Dean you mentioned the use of the ATM by my calculation you're trading right now below consensus, any comment on that with relates to strategy to deploy the ATM?
Joel Marcus: I think we didn’t actually say we were going to deploy the ATM per say, we have not used -- I think the last time we use that was back in 2012-2013 we haven’t used it since 150 more and less remains that expire Dean said in June we're going to refresh that so we always have it available. But I don’t think we have committed the use of it at this point.
Dean Shigenaga: My comment is focus on primarily on sourcing sales but we wanted to make it clear that we would re-file the program just to have it available for other future.
Rich Anderson: And last question I don’t if you have this on your figure tips. But do you have a number of percentages of portfolio that’s back by VC funding?
Joel Marcus: If you look at -- we have a high chart at page 21 of the supplement and in there you'll see private bio technology, had about 6.8%. By ABR that’s a good kind of estimate.
Rich Anderson: Okay so that’s in the range of what the VC number would be.
Operator: [Operator Instructions] We'll go next to Kevin Tyler of Green Street Advisors.
Kevin Tyler : Just one quick one from me, high level question. How do you think about lab space fundamentals today? Rents, tenant, demand, et cetera versus the last peak in the 90s.
Joel Marcus: I think it's fairly fundamentally different. If you go back to my opening comments I think that kind of says it all what we saw in the ‘99, 2000, 2001 era really was more a market driven peak where companies and valuation kind of emerged. But I think business model and drug approval and just sheer focus on drugs coming to market was not the same. This is truly I think an unusual renaissance that I think you've got a lot of legs and will continue to last for quite a long time. I think the better and faster FDA is fundamentally changed since then I think the new generation of bio-tech led by companies like Biogen, Cell Gene, et cetera they didn’t really exist then, you just had Amgen and Genentech more or less. Big farma was really hiding out in it’s -- in really campuses that were more suburban and really acquired and build over many years really with a different business model in mind. And then the kind of the focus on targeted therapy it didn’t exit. So I think it's a pretty -- this is kind of renaissance period I don’t think it's -- sure there is a lot of positivity on the bio tech side with the market valuations. But fundamentally the companies are incredibly way better position.
Operator: We'll go to Dave Rodgers of Baird.
Dave Rodgers: Just a couple ones from me. Joel couple of questions for you on the disposition pipeline or how you're thinking about it. I guess the first would be can you comment on India? The decision to sell the asset and impressed this quarter and anything that speaks to your long terms plans in India or Asia? And the second would be with regard to using joint venture capital in Cambridge, any other markets that you’d consider really bringing in joint venture partners and how did you think about that as you went down the road?
Joel Marcus: So quick answers, on India we have several assets that are really unproductive assets, land or land and some kind of structure that we -- this is pre Lehman, we had intended to essentially develop and bring the market. Those plans changed before of allocation of capital issues and so the assets that we sold were kind of a shell of a building in a very high quality location in Hyderabad. And we have not achieved permits for the MOB and so we felt by selling it to a MOB operator, who'd actually operate it and be able to secure those approvals, would be the best course and so that’s why we entered into that transaction. And we're happy to have monetized the non-income producing asset. On the other question about selection of locations, our thinking there is driven by a whole bunch of considerations that Dean kind of covered in his remarks, but I would say that the ability to extract value from assets that we have created and really developed high value given today's cap rate environment seem to be best targets of opportunity. The Forbes assets -- 500 Forbes is an ideal one because of where it's situated, cap rate situation and the 225 Binney is one that also seems kind of ideal, again given that it's at the end of the Binney Street corridor. It's a pure office building and it's got all the attributes that really make a joint venture partner very excited about participating in that ownership with us. So those were kind of the driving forces I think behind them.
Operator: And currently there are no other questions in the queue, I'll turn the conference back to management for any additional remarks.
Joel Marcus: Thank you everybody we appreciate your time and we're just about one hour on and we look forward to talking to you on the second quarter call. Thanks again.
Operator: That does conclude today's conference. Thank you for your participation.